Operator: Good afternoon everyone, thank you for standing by and welcome to the Q2 2021 CorePoint Lodging Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Ms. Becky Roseberry.
Becky Roseberry: Thank you. Good afternoon and welcome to CorePoint Lodging’s second quarter 2021 earnings conference call. In a moment, we will have remarks from Keith Cline, our CEO and Dan Swanstrom, our CFO. Before we start, I would like to remind everyone that our remarks today will include forward-looking statements. Actual results could differ materially from those indicated in the forward-looking statements and forward-looking statements made today speak only to our expectations as of today. We do not undertake any duty to update forward-looking statements. These statements are subject to risk factors that may cause our actual results to differ materially from those expressed or implied. For more details on some of these risks, please refer to the risk factor section of the company’s most recent Annual Report on Form 10-K as supplemented by the company’s quarterly report on form 10-Q for the second quarter of 2021 which we will be filing with the SEC and maybe further supplemented in subsequent reports. In today’s remarks, we will also refer to certain non-GAAP financial measures. Corresponding GAAP measures and a reconciliation of non-GAAP measures to GAAP metrics are provided in our earnings release, which is available on our website at corepoint.com. Finally for those listening to a replay of this call, after August 5, 2021, we remind you that this presentation will not be updated and it is possible that the information discussed will no longer be current. With that, I will now turn the call over to Keith.
Keith Cline: Thank you, Becky. Good afternoon everyone and welcome to our second quarter call. We are pleased you can join us. The performance of our portfolio of select service hotels has strengthened sequentially during our peak season, which generally runs from March through October. We were able to achieve property level adjusted EBITDA ROE of $35 million for the quarter, we have continued to experience a market improvement in operating results, occurring most dramatically in our drive-to destination markets including those in Sunbelt and West Coast states. Leisure travel currently represents over two thirds of our bookings and weekends are still outperforming weekdays, one of the highlights of the quarter was our performance over Memorial Day weekend where we achieved RevPAR greater than that same weekend in 2019, which was the first since the start of the global pandemic. Since Memorial Day most of our weekends have outperformed 2019, driven by our leisure focused geographically diverse portfolio. In addition to leisure, we are continuing to see some recovery in certain segments of corporate travel related to essential businesses such as construction, transportation and project-related businesses. Our second and third quarters are historically part of our peak season. To that end, we have achieved comparable occupancy of 63%, comparable ADR of $93 and Comparable RevPAR of $59 for the second quarter with June being our strongest month at 66% Comparable Occupancy $100 of ADR and $66 of comparable RevPAR. The Comparable RevPAR of $59 for the second quarter, represents a 138% growth over 2020 and a 15% decline over 2019. We continue to see positive momentum into July was even stronger Comparable RevPAR approximately $77 for the month. Given the relative strengthening in demand our asset management team is working closely with our property manager to continue to drive rate opportunistically and capture additional property level EBITDA. While we are optimistic about this current trend our default posture will remain cautious given the uncertainty around virus variance and any potential future travel restrictions. We will continue to keep a tight rein on cost control initiatives until demand returns closer to pre-pandemic levels, while adjusting property level cost to meet customer needs. Given the positive sequential trend from March through July and the continued success, we are having in disposing of our non-core hotels. I want to highlight the performance of our core portfolio. This portfolio of 105 assets, which are mostly located in top 50 MSAs had RevPAR at $65 for the second quarter, approximately 34% higher than our non-core portfolio in the second quarter. With this higher RevPAR the core portfolio produced hotel label level EBITDAre margins that continued to outperform the non-core portfolio during the second quarter and was comparable to what this core portfolio produced in the second quarter of 2019. Lastly, having addressed over 85% of the 210 hotels we identified as non-core and given the strong market interest in our assets as announced in July, the Board has determined now is the proper time to explore strategic alternatives. The Board intends to consider a full range of available strategic alternatives to maximize shareholder value, including a potential sale of the company or other transactions. There is no set timetable for the Board to review alternatives and there can be no assurance that the exploration of strategic alternatives will result in any transaction or other action, due to the ongoing nature of that strategic review, we will not be able to make additional comments on that announcement during today’s call. With that, I will turn the call over to our CFO, Dan Swanstrom. Dan?
Dan Swanstrom: Thank you, Keith and good afternoon everyone. I will start today by providing a brief review of the second quarter operating results and recent trends. I will also provide updates on our balance sheet liquidity position and non-core disposition strategy. The comparable RevPAR increase of approximately 138% during the second quarter was driven by a 34% increase in ADR and a 2750 basis point increase in occupancy. The year-over-year increase in total revenues is primarily due to increased demand in 2021, as compared to the COVID-19 pandemic impacted 2020, partially offset by the impact of sold hotels. For the quarter, we achieved hotel level adjusted EBITDA of ROE of $35 million and adjusted EBITDA ROE of $31 million. On a sequential basis to $31 million of adjusted EBITDA, ROE compares very favorably to the $3 million generated in the first quarter of 2021. As Keith mentioned, we are encouraged by the most recent operating trends for the month of July 2021, preliminary operating metrics are pointing to best monthly result since the start of the global pandemic with comparable occupancy of 69%, comparable ADR of $111 and comparable RevPAR of $77. The comparable RevPAR of $77 represents an increase of 2% from the month of July 2019. Our portfolio of select-service hotels, predominantly focused on the midscale segments continues to be well-positioned to capture the current levels of transient room demand, our portfolio footprint is mostly in suburban markets near multiple demand generators and we are benefiting from leisure and other guest demand for drive-to destination and intrastate adjacent hotels. These characteristics continue to be positive differentiators for the CorePoint portfolio. Now to the balance sheet we repaid approximately $130 million in total debt during the second quarter, resulting in approximately $436 million of total debt repaid since the beginning of 2020 and approximately $550 million of total debt repaid since the inception of our non-core disposition program. As of today, we have paid down our CMBS debt $525 million through the continued use of net proceeds from asset sales and we have paid down our revolver balance to $70 million using cash on the balance sheet. Our current weighted average interest rate is approximately 3.4% with respect to the CMBS facility in June, we exercised our second extension option to extend the maturity date to June 2022. We have additional borrower options to further extend the maturity date for another three successive terms of one year each. From a liquidity perspective, our cash balance today is approximately $170 million, which excludes lender and other escrows of approximately $45 million. Our current liquidity reflects the positive momentum in operational performance and compares favorably to the cash balance of approximately $145 million at the time of our last call in May. Turning to our noncore disposition strategy. During the second quarter, we closed on the sale of 25 hotels for total gross proceeds of approximately $143 million. Subsequent to quarter-end, we have closed on the sale of eight additional hotels for total gross proceeds of approximately $44 million these $187 million of transactions were completed at attractive valuations an average 2019 revenue multiple of approximately 2.7 times, 2019 hotel adjusted EBITDA are multiple of approximately 13 times and about 49,000 per key. Since inception of our non-core disposition strategy we have now completed the sale of 147 hotels for approximately $680 million in gross proceeds at highly attractive valuations. We have achieved an average 2019 revenue multiple of approximately 2.6 times, which is slightly higher than the midpoint of our valuation expectations range. We also have an additional 37 hotels under contract with qualified buyers that are expected to generate total gross proceeds of approximately $234 million at generally similar valuation levels to those achieved to date based on average 2019 revenue multiples. Between the 147 hotels sold to date and these 37 hotels under contract. We have now addressed over 85% of the 210 hotels we identified as non-core. We have created substantial value through the execution of our core disposition program over the last two plus years and we look forward to our continued progress in completing this key initiative. With that, we will open the line for your questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Chris Woronka from Deutsche Bank. Chris, your line is now open.
Chris Woronka: Okay. Hey, good afternoon, guys, congrats on a really nice quarter. Wanted to drill into maybe a little bit of the margin performance, which was way above our expectations. Just looking at even sequentially expenses were up pretty minimally for the revenue gain. I mean is that a function of, obviously getting some write back or maybe you can talk a little bit about the labor situation and are you benefiting from heavy open positions and things like that?
Keith Cline: A great question, Chris. Certainly as evidenced by the strong ADRs that we disclosed and there is I think some additional sequential information included in the press release as well that gives you kind of color by month but certainly if you throughout the second quarter April came in at $86.35 comparable ADR May at $93.25 in June at $100.35. I think this is a strong ADR that we’re experiencing combined with as you alluded to, certainly a challenging labor market for anybody that owns hotels is contributing to the margins that we’re delivering, but as I mentioned in my prepared remarks, we are being very prescriptive around reintroducing costs into the business model and making sure that we match the reintroduction of kind of guest facing cost to match with the expectations are of our guests in this current environment. So we’re really at the combination of things. But the two biggest would be the rates we’re achieving and then certainly a labor environment. It’s a little bit challenged right now.
Chris Woronka: Very helpful. And then, on the asset sales completed to date or under contract, can you maybe talk a little bit about, have you seen more is interest in those assets increasing relative to three months, six months ago and are the composition of buyer pools changing any?
Keith Cline: I think the composition of the buyer pools are remaining fairly consistent. There is always been since the beginning of this program very strong interest in these asset, given that this is kind of a unique opportunity to buy this portfolio of properties that really had never been offered in this fashion since we’ve owned them but the things are accelerating a little bit as you would expect, given the general trend that we’re seeing in the business and what continues to be a very nice debt market for the buyer pool that we’re dealing with.
Chris Woronka: And then, maybe last question from me is as we look out to say fourth quarter I think third quarter we know, summer is good, but in the fourth quarter obviously historically there is a little bit more corporate and commercial business versus leisure, but also geographically is there, has there historically been a bigger spread in terms of more business still coming from the south through the Sunbelt in the fourth quarter versus say to the Midwest and the East?
Keith Cline: Well, the one thing I’d say about the fourth quarter and we’ve talked about this for many years obviously, second quarter and third quarter is our peak season Q4 and Q1 of the shoulder quarters and during those periods of time especially Q4 October was historically more of a convention month than any other month throughout the fourth quarter. As I mentioned in my prepared remarks, we’re seeing some return to corporate travel, but certainly not as strong as we had seen pre-pandemic but given the diversity and location of our portfolio and the fact that you’re still seeing some organizations not come back into the office full time, we do expect to continue to see people moving around the country and create some abnormal trends versus history, which is what we’ve seen throughout the pandemic, we’re continuing to see people move around and work from various locations versus having to stay an in one given spot.
Chris Woronka: We’ll appreciate all the color. Thanks, guys.
Operator: And there are no further your questions. I would now like to turn the call back to Mr. Klein.
Keith Cline: Thank you. As always, I want to thank everybody for their participation today and your continued interest in CorePoint Lodging but I also wanted to put out a special thank you to our third-party manager and all of their associates out there in the field that put together a very strong collective effort and helping deliver this quarter. Thank you, all.
Operator: Thank you so much for presenters and for everyone who participated. And this concludes today’s conference call. You may now disconnect. Have a great.